Operator: Good morning, ladies and gentlemen, and welcome to Ferroglobe's Second Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to hand the call over to Alex Rotonen, Ferroglobe's Vice President of Investor Relations. You may begin.
Alex Rotonen: Good morning, everyone, and thank you for joining Ferroglobe's Second Quarter 2025 Conference Call. Joining me today are Marco Levi, our Chief Executive Officer; and Beatriz García-Cos, our Chief Financial Officer. Before we get started with some prepared remarks, I'm going to read a brief statement. Please turn to Slide 2 at this time. Statements made by management during this conference call that are forward-looking are based on current expectations. Factors that could cause actual results to differ materially from these forward-looking statements can be found in Ferroglobe's most recent SEC filings and exhibits to those filings, which are available on our website at ferroglobe.com. In addition, this discussion includes references to EBITDA, adjusted EBITDA, adjusted gross debt, adjusted net debt and adjusted diluted earnings per share, among other non-IFRS measures. Reconciliation of non-IFRS measures may be found in our most recent SEC filings. Before I turn the call over to Marco Levi, our Chief Executive Officer, I want to announce that we'll be participating in the Seaport Virtual Conference on August 19 and 20 and the IDEAS Midwest Conference in Chicago on August 27. We hope to see you there. Marco?
Marco Levi: Thank you, Alex, and thank you all for joining us today. We appreciate your continued interest in Ferroglobe. There is a rapidly evolving market environment, particularly on the trade front, resulting in elevated uncertainty and limited visibility around global trade policy and regulatory developments. This was particularly evident as it relates to global tariffs, safeguards and trade measures, both in Europe and in the U.S., adding complexity to an already challenging market environment. Despite these headwinds, we are pleased with the recent progress as evidenced by the newly agreed trade framework between the U.S. and EU, signaling a shift toward greater clarity and cooperation. This development is expected to reduce disruptions and provide improved visibility across global markets. As these measures take effect, we are optimistic that the uncertainties will be resolved in the near term, creating a stronger and more stable market environment heading into 2026. However, given the current uncertainty and limited visibility on market dynamics, trade measures and tariff structures, we believe that it is prudent to withdraw our 2025 guidance at this time. We will revisit it once we have greater clarity on these key matters. I'll now walk through several key developments and uncertainties, many of which we believe will ultimately support a strong outlook for our industry. As discussed previously, the European Commission launched a safeguard investigation last December into silicon metal, silicon-based alloys and manganese alloys, a significant and necessary step to address unfair trade practices. The preliminary decision, which was initially expected in May, has not been officially announced. At this time, we don't know what measures will be adopted or what the timing will be. As a result of delays, we believe that Ferroglobe will benefit from these measures in 2026. As Chairman of Euroalliages, I am actively engaged with its industry participants, EU member states and other stakeholders to advocate for a positive outcome to ensure necessary protections for our industry. Our products play an essential role in many key industries such as aluminum, chemicals, steel, solar, microchips and most critically defense. With the final EU decision due by the end of November, we are optimistic that the strategic importance of our industry will result in a favorable outcome. The final implementation of safeguards requires approval from at least 15 of the 27 EU member states and by states representing at least 65% of the population. Adding to the uncertainty are trade tensions involving the United States. While a key preliminary trade deal was reached with the EU, many others remain undecided. One of the key U.S. trade negotiations is with Canada, which is an important supplier of aluminum and steel to the United States. There is a lack of clarity regarding how and when these trade policies will be finalized, which affects our business and overall global trade. In addition, we are waiting for the outcome of the U.S. silicon metal trade case, which was filed in April with a preliminary countervailing duties decision expected in late September and antidumping decision expected 2 months later in late November. The countries investigated are Angola, Australia, Laos, Norway and Thailand. One of the key developments this quarter was a notable decline in European silicon metal prices, which was driven by a substantial increase in imports from China. These aggressively low- priced imports have placed considerable pressure on the market, where EU 27 producers' market share has dropped from 40% just a few years ago to approximately 15% today. This surge in imports is not only undermining local producers, but also destabilizing pricing across the region. As a result, silicon metal indexes in Europe have declined by approximately 20% in just the past month. This sharp drop has created a considerable market disruption, making visibility into future supply and pricing very difficult. While macro conditions remain challenging and unpredictable, we continue to focus on things that we can control and manage the business with discipline, maintaining operational efficiency and a strong focus on discretionary cost control. Our actions, combined with our operational excellence enabled us to deliver positive adjusted EBITDA in the second quarter. At the same time, we remain committed to returning capital to shareholders. In the second quarter, we purchased 600,000 shares for $2 million and paid $2.6 million in dividends. Looking ahead to 2026, we see several positive developments on the horizon that are expected to significantly enhance our performance. First, we are beginning to see tangible benefits in the U.S. market from the antidumping and countervailing duties imposed last year on ferrosilicon imports from Russia, Kazakhstan, Brazil and Malaysia. Additionally, newly announced tariffs targeting major Asian ferrosilicon importers to the U.S. like Vietnam and Malaysia, plus India will be imposed with minimum tariffs ranging from 20% to 40%, along with any applicable antidumping duties. Brazil ferrosilicon producers by comparison face 50% tariffs plus both antidumping and countervailing duties. These tariffs should further improve the market dynamics in the U.S. In fact, during the second quarter, we recorded the highest volume of ferrosilicon sales in the past 8 quarters, a clear indication of how the U.S. trade actions are supporting domestic producers. We expect this trend to continue in the coming quarters. Another reason for the positive outlook for 2026 is the expected benefit from EU safeguard measures as previously mentioned. Besides these trade-related events, there are additional encouraging macro developments anticipated to benefit Ferroglobe. Production curtailments of silicon metal are taking place in China, Europe and Brazil, indicating that the current price level is unsustainable. We are optimistic that these actions will help stabilize the market and reverse the recent price trend. Another important factor for the coming months is that NATO has committed to increasing defense-related spending substantially, which is expected to booster the steel and aluminum industries. Importantly, the NATO countries are in our key markets, Europe and North America. In addition, Germany has committed to investing more than $500 million in its infrastructure. More specific to Ferroglobe, our operational flexibility to optimize production enables us to better match the market needs. Recently, we switched 2 silicon metal furnaces to ferrosilicon, one in the U.S. and in Europe due to better economics. This allows us to increase ferrosilicon production by approximately 35,000, 40,000 tons annually. To reiterate our strategic advantage, being a local company with a vertical supply chain integration positions us well to take advantage of any tariffs or trade restrictions in U.S. or Europe. Ferroglobe reached an important milestone on June 30 by joining the Russell 2000 and 3000 indexes. This increases our visibility among institutional investors and improves trading liquidity, delivering sustainable value to our shareholders. Next slide, please. As we anticipated on our last earnings call, the second quarter showed substantial improvement in our performance with a 27% increase in volumes and a 26% increase in revenue. Our adjusted EBITDA rebounded to a positive $22 million from a loss in the first quarter, while remaining net cash positive. Next slide, please. Moving to our segment update. I'll start with Silicon Metal on Slide 5. While shipments increased substantially over the first quarter, Q2 volumes were still impacted by weak demand and low-priced silicon metal imports from China into the EU. Overall volumes improved 23% over the prior quarter, mainly as a result of our contract structure due to the restart of our French operation at the beginning of April. The main driver of this predatory imports was the collapse of the polysilicon market in Asia, which continues into the third quarter. Polysilicon prices have recovered from their lows but remain well below earlier levels. Until the Asian polysilicon market recovers further or relevant safeguards become effective, silicon metal imports from China to the EU are likely to continue. The chemical sector weakness persists as aggressive silo and imports have resulted in oversupply in the U.S. and Europe. Our increased focus on the aluminum segment is yielding positive results on volumes. The impact of Chinese imports was pronounced in Europe with index prices declining 33% from EUR 2,450 to EUR 1,650 in the second quarter. At the same time, the U.S. index increased by 3%. Next slide, please. The silicon-based alloys market also showed a robust volume increase in the second quarter with a 24% jump in overall volumes. The main reason for the increase was the restart of our French operations, followed by improved demand in the U.S., which was helped by the phase trade decision against Russia, Kazakhstan, Malaysia and Brazil. The second quarter was the strongest shipment quarter in 3 years with the EU and U.S. improving volumes by 43% and 6%, respectively, over the first quarter. While shipments were up across our footprint, the pricing was a tale of 2 markets. In the U.S., the demand was driven by higher steel production and ferrosilicon trade decision, which bolstered the index price by 10% to $1.26 per pound. In contrast, European prices declined by 8%, primarily due to weakness in the regional steel production. We expect EU market to begin improving in 2026 for both volumes and prices as the safeguard decision becomes effective. Next slide, please. Our manganese segment was our strongest segment with volume increasing 31% over the first quarter. This was our highest shipment volume quarter in 3 years. Part of the improvement over Q1 was the restart of French operations and delayed shipments carried over from Q1 due to low manganese ore inventories. Manganese alloy index prices declined in the second quarter by 6% and 11%, respectively, for ferromanganese and silicon manganese. The outlook for manganese demand remains strong, and we expect a robust performance from this segment in the coming quarters, further supported by potential safeguards, which could serve as a catalyst for accelerated growth. Now I would like to turn the call over to Beatriz Garcia-Cos, our Chief Financial Officer, to review the financial results in more detail. Beatriz?
Beatriz García-Cos Muntañola: Thank you, Marco. Please turn to Slide 9 for a review of the income statement. Sales increased 26% in the second quarter to $387 million, while raw material costs increased only 6%, driving significant improvement in margin with raw materials as a percentage of sales declining to 66% from 78% in the previous quarter. This improvement reflects better fixed cost absorption as production ramp- up, particularly in France and also lower energy costs. Top line growth was driven by a 27% increase in volumes across all product categories, along with higher average selling prices, primarily in the manganese-based alloys segment, which was up 9%. The increase in volumes was primarily attributable to the restart of our French operations. Adjusted EBITDA for Q2 improved substantially, increasing to $22 million versus a loss of $27 million in Q1, an improvement of $48 million. Adjusted EBITDA margin in the second quarter was 6%. The margin increase was largely cost driven, supported by both volume and price improvements. Next slide, please. Silicon metal revenue increased to $130 million in the second quarter, up 24% over Q1. The increase was driven by a 23% increase in shipments, combined with a 1% increase in average selling prices. Volume gains were strongest in EMEA, supported by the restart of our French operations. Adjusted EBITDA for silicon metal from $15 million loss in Q1 to a $7 million gain in Q2, with margins improving to 5%, up from negative 50% in the first quarter. This primarily reflects cost improvement resulting from stronger production levels, lower energy cost and better fixed cost absorption. Next slide, please. Silicon-based alloys revenue rose 23% to $112 million, supported by a 24% increase in shipments. Pricing was slightly lower, down 1% versus the prior quarter. Adjusted EBITDA increased significantly from $2 million in Q1 to $7 million in Q2, tripling quarter-over-quarter. Margins expanded from 3% to 6%, driven by improved fixed cost absorption, resulting from a significant increase in production volumes as a result of our French operations. Next slide, please. Manganese base alloys post the strongest improvement with revenue up 43% to $106 million. This was driven by a 31% increase in volumes, combined with a 9% increase in average selling prices. Adjusted EBITDA improved from a $6 million loss to a profit of $17 million, with margins reaching 16%. These gains were fueled by higher throughput, improved cost absorption and contribution from the resumed French operations, partially offset by the higher cost of manganese. Next slide, please. During the second quarter, we generated $16 million in operating cash flow, reflecting a working capital release of $14 million. Please note that the difference in working capital between cash flow and balance sheet is the decline or depreciation in the U.S. dollar. In addition, we collected a $7 million energy rebate related to our 2025 energy contract and paid $12 million of income taxes. Capital expenditures totaled $60 million in Q2, up slightly from the prior quarter. Despite the tough market conditions, our free cash flow for the second quarter was neutral. Next slide, please. During the second quarter, we preserved a strong balance sheet while maintaining our dividend and continuing our share repurchase program. During the quarter, we repurchased 600,000 shares at an average price of $3.31 for a total of $2 million. Since initiating share buybacks in the third quarter of 2024, we have repurchased a total of 1.9 million shares for approximately $7 million. We will continue to do so opportunistically. We also made an additional $4 million investment in Coreshell, bringing our total to $10 million to support the 60-amp pilot plant. We remained net cash positive at the end of the quarter with a balance of $10 million versus $19 million at the end of the first quarter. Adjusted gross debt at the end of the second quarter was $125 million, up from $110 million in the prior quarter. In addition, in June, we made the final SEPI loan principal repayment of $80 million. Our year-to-date CapEx was $30 million. At this time, I will turn the call back to Marco.
Marco Levi: Thank you, Beatriz. Before opening the call to Q&A, I'd like to provide key takeaways from today's presentation on Slide 15. First, due to increased uncertainty in the market, particularly around trade actions and volatile pricing in Europe, we are withdrawing our annual guidance. Visibility remains limited, and we believe this is the most prudent course of action until we have a greater clarity. However, we expect the ongoing EU safeguard decision to reduce price pressure from imports, paving the way for robust market conditions in 2026. In the U.S., where we have seen a tangible improvement in the ferrosilicon market, we expect trade policies and antidumping actions to improve the market further. Despite some external headwinds, we continue to navigate the environment effectively as highlighted by our second quarter adjusted EBITDA of $22 million. Our operational discipline, cost control and strong balance sheet, along with our flexible global footprint position us well to manage through near-term volatility. Looking ahead, we are optimistic about 2026 and expect meaningful tailwinds from trade decisions in both U.S. and Europe, along with early signs of supply curtailments. These developments should significantly improve the operating environment next year. Operator, we are ready for questions.
Operator: [Operator Instructions] We will now take the first question from the line of Martin Englert from Seaport Research Partners.
Martin John Englert: I wanted to quickly touch on, while I know the annual EBITDA guide was withdrawn, do you have any visibility wherein you can speak to any forward-looking metrics like price, volume, costs or broader qualitative views on the second half of this year for the company?
Marco Levi: At this stage, Martin, thank you for the question. At this stage, like we said, we are in an extreme uncertain environment and like I said in my speech, uncertainty on overall global trade tariffs, but also tariffs related to our business, right, both in terms of safeguards and antidumping. The big emerging factor in the second quarter has been the massive import of silicon metal from China at extremely low prices. We are talking about $1,100, $1,200 import price, you have to have duties and transportation. So we have faced market prices of EUR 1,400, EUR 1,600 per ton that we could not simply match. And by the way, it's not only Ferroglobe, it's most of the industry that cannot match these prices. This is why we keep on hearing about production curtailments in Ireland, in Germany, in Brazil and also China because I think at this price -- import price level, basically, you get to the cash cost of the best Chinese producers. So also most of the Chinese players lose money at this level. So as a consequence, waiting for more clear decisions is very difficult to project volume and prices for the rest of the year. And from there, our suffered decision to draw the guidance for the rest of the year.
Martin John Englert: Do you feel like there's any risk that EBITDA could revert negative again before the end of the year? Or is that just unknown right now?
Marco Levi: Well, we don't know the amount of EBITDA, but you know that we are going to deliver positive EBITDA. Again, giving a forecast is impossible due to the current situation.
Martin John Englert: Okay. Understood. I appreciate that the visibility is challenged out there because of the tariffs. Kind of along those lines with U.S. tariffs, can you touch on any exposure you might have here in the supply chain, meaning on the cost side of the business and implications for your facilities and also how it's impacted Becancour?
Marco Levi: Yes. As for the Becancour, Martin, at this point in time, Becancour is not impacted because silicon metal imports from Canada to U.S. are not impacted at this stage with any trade measure. Talking about critical raw materials, as you know, we are fully back integrated key raw materials in U.S. and we don't have any specific problem in Europe. We had to face some -- we had to make some corrective actions on small raw materials like specific rare earth but we have been solving the problem. So this has not been impacting overall our supply chain at this stage.
Martin John Englert: Can you remind us of what specific rare earth exposure you might have?
Marco Levi: A lot depends on the founder formulation, but we are talking about bismuth, germanium, tellurium, mainly these 3 products. Then of course, we have to see what happens with magnesium because the major producer of magnesium, guess what is China. But at the moment, we have been able to secure the supply. By the way, magnesium is not rare earth, right?
Operator: We will now take the next question from the line of Nick Giles from B. Riley Securities.
Nicholas Giles: My first question on the EU safeguards, it's encouraging to hear the progress thus far. Should we have a price floor or a minimum import price in mind? Or how should we think about overall structure? And then I was curious if you could speak to how volumes could respond in each of your product categories? And then any clarifying points on timing when this could really be implemented?
Marco Levi: Okay. First of all, we don't know what is included in the decision of the European community. There have been a lot of speculations on the product coverage on the mechanism to protect our industry in Europe, but there is no final decision. And as a consequence, I don't want to speculate on that. I just want to confirm that we keep on asking for safeguard covering our complete product mix, silicon metal, manganese alloys, polysilicon and ferrosilicon and foundry. And we expect a decision -- a preliminary decision on August 18, 19 and the final decision on November 20. Speculating now on the impact, I think is not a good exercise at this stage. But what I want to underline is that we are still engaged with the European community on working on their final decision, and this makes us feel rather optimistic about having an outcome, which outcome we will see and we will talk at the right time.
Nicholas Giles: Fair enough. Well, I guess maybe a follow-up to that. I mean, as we look across your 3 main product categories, which of your assets in Europe should we think about as best positioned to respond with higher volumes, assuming a favorable outcome in the safeguards?
Marco Levi: Yes. There was -- I want to remind you that the overall safeguard initiative is related to restore local supply of critical and strategic raw materials at a rate of maximum 40%. So 60% will still be imported. This is a critical thing. Talking about our plants, of course, in particular, the silicon metal plant run at a much higher rate, starting from Sabon in Spain, moving to Monzón, and Les Clavaux in France. We have converted most of lockdown production already to ferrosilicon. The other plants are either manganese plants or foundry plant. Manganese is running well volume-wise. Then when you move safeguard Europe may impact also to a certain extent, our production of foundry products in South Africa. But at this stage, we are not operating any smelting facility in South Africa.
Nicholas Giles: That's helpful. Maybe just on the -- more on the U.S. side. I mean you mentioned switching some furnaces from silicon metal to ferrosilicon. And apologies if I missed it, but what's the overall volume impact? And any color on what the potential impact to EBITDA could be at current prices?
Marco Levi: Well, yes, we have switched one furnace in Beverly, Ohio from silicon metal to ferrosilicon due to the increased demand of ferrosilicon in the U.S. And we have switched one of the large furnaces in [indiscernible] from silicon metal to ferrosilicon, right? So now the U.S. the margin is supported by the price restoration in the second quarter at about 10%. So it's positive EBITDA while the decision of them is related to market opportunities in ferrosilicon due to our advantaged cost position in France versus lack of business in the silicon metal area.
Nicholas Giles: And then one more, if I could. You did have an update on your Coreshell investment, and apologies if I missed it there, but is there anything to highlight from a safeguard or trade case perspective that would ultimately benefit Coreshell or silicon-rich anode technology more broadly?
Marco Levi: Yes. Well, first of all, you have to consider that a very high percentage -- ultra-high percentage of graphite comes from China. So there is a natural positive push toward replacing graphite with silicon. And a s mentioned in our speech, we have increased our participation in Coreshell. And during the second quarter, the new pilot plant started operating very smoothly. The first cells were produced and the first result in cycle efficiency are simply outstanding. And so we are in the process of assembling the first cells to major OEMs in the United States and Europe.
Operator: There are no further questions at this time. I would like to hand back over to Marco Levi for closing remarks.
Marco Levi: All of you, thank you again for your participation. We look forward to updating you on the next call in November. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.